Operator: Thank you for standing by, and welcome to EverCommerce's Third Quarter 2023 Earnings Conference Call. My name is Norma, and I'll be your operator today. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today, Monday, November 6, 2023. I would now like to turn the conference over to Brad Korch, Senior Vice President and Head of Investor Relations for EverCommerce. Please go ahead.
Brad Korch: Good afternoon, and thank you for joining. Today's call will be led by Eric Remer, EverCommerce's Chairman and Chief Executive Officer, and Marc Thompson, EverCommerce's Chief Financial Officer. Joining them for the Q&A portion of the call is EverCommerce's President, Matt Feierstein. This call is being webcast with a slide presentation that reviews the key financial and operating results for the three months ended September 30, 2023. For a link to the live or replay webcast, please visit the Investor Relations section of the EverCommerce website, www.evercommerce.com. The slide presentation and earnings release are also directly available on the site. Please turn to Page 2 of our earnings call presentation, while I review our safe harbor statement. Statements made on this call and contained in the earnings materials available on our website that are not historical in nature may constitute forward-looking statements. Such statements are based on the current expectations and beliefs of management. Actual results may differ materially from these forward-looking statements, due to risks and uncertainties that are described in more detail in our filings with the SEC. We undertake no obligation to publicly update or revise these forward-looking statements, except as required by law. We will also refer to certain non-GAAP financial measures to provide additional information to you, our investors. A reconciliation of non-GAAP GAAP historical measures is provided in both our earnings press release and our earnings call presentation. I will now turn it over to our CEO, Eric Remer. Please continue.
Eric Remer: Thank you, Brad. On today's call, I will highlight third quarter results and discuss key customer trends and metrics, before I turn the call over to Marc to dig deeper into our financials. EverCommerce continues to advance its goal of being the leading provider of vertical software for service SMBs. With our business management software, which we refer to as systems of action, we are simplifying the lives of those service providers that support us every day. These core software platforms are critical to our customers' businesses, and have proven to be resilient revenue streams. As we've highlighted in the past, you have seen modest macroeconomic pressures in the more transactional aspects of our business. And this was true in the third quarter as well. Despite this, EverCommerce's year-over-year revenue growth expanded over 200 basis points, when compared to the growth rate reported last quarter. During the more uncertain macroeconomic environment, we continue to actively manage our costs and double down on the mantra of balancing growth with profitability. This quarter, we once again exceeded the top end of our guidance range for adjusted EBITDA, which grew 39% year-over-year and equated to a 24% margin. Year-over-year, this represents over 485 basis points of margin expansion. With upside to profitability, we are creating the opportunity to incrementally invest in areas that can accelerate growth in 2024 and beyond. Product and payments adoption continues to be a key element of our growth strategy. And for the third quarter, we increased our payment revenue by 28%. Finally, I am pleased to announce that last week, our Board of Directors authorized an upsize and extension to our share repurchase authorization, increased by an additional $50 million, our authorization now run through year-end 2024. EverCommerce provides vertically tailored end-to-end SaaS solutions that support the highly diverse workflows and customer interaction with professionals and home services, health services and fitness and wellness services, used to automate manual processes, generate new business and create more loyal customers. As a leading service commerce platform, we provide system of action software across our many market verticals, which in turn drive the workflows to help our customers generate new business, fulfill services, manage day-to-day operations and engage with their customers. We continue to execute our land-and-expand strategy. We land with our core business management software and then upsell and cross-sell our existing customers additional features, service and products. This enhances the value our customers receive from the relationship with EverCommerce and drives additional revenue. As we've shown in various examples on previous earning calls, this translates to lower churn and higher retention. Last quarter, we introduced a new metric that we feel best reflects our current cross-sell progress, the number of customers that have contracted and onboarded for more than one solution. This metric is higher in the funnel than our traditional disclosure of customers actively utilizing more than one solution. For payments specifically, this metric tracks our customers' payments enablement progress, which is clear milestone in the journey to regular accepting payments and contributing to our TPV growth. At the end of the third quarter, while we continue to see expansion of customer utilizing more than one solution to approximately 82,000, the number of customers have contracted onboarded for two or more products grew 28% year-over-year to approximately 173,000. And with over 685,000 total EverCommerce customers as of the beginning of 2023, we continue to have a very large embedded opportunity to continue to grow this base of multi-solution customers. Finally, when we look back over the trailing 12 months, our annualized net revenue retention, or NRR, for our core software and payment solutions remained above 100%. Embedded Payments is our most accretive cross-sell solution and stands to be a long-term driver for EverCommerce revenue growth and margin expansion. Year-over-year, our payments revenue grew 28%, accounting for approximately 70% of overall revenue. We report our payments revenue on a net basis. And as a result, payments revenue contributes approximately 95% gross margin and is a meaningful contributor to overall adjusted EBITDA margin expansion. Third quarter annualized total payment volume, or TPV, was approximately $11.7 billion, representing 11% year-over-year growth. We expect TPV and overall payments revenue to grow, as we continue to embed our payment solutions into our core systems of action. Accelerating payments attachment and utilization are key elements of our term growth plan, and we continue to see success through a core system of action solutions. Last quarter, we mentioned that we are actively testing implementing new strategic initiatives, designed to increase the attachment and payment capabilities, drive more payment enabled customers into active processing and further increase the wallet share of the customers that are already processing. Lastly, I want to highlight a small but important acquisition, that we made in the quarter, Kickserv. Kickserv is a cloud-based web mobile system of action, enabling field service providers such as plumbers and HVAC technicians to manage all aspects of the business, including job and customer management, payments, reporting and business operations. We actively pursued Kickserv as part of our overall EverPro product strategy because to fill the gap we had to appropriately serve customers that are too large for our Joist product, yet too small for our Service Fusion products. Kickserv does offer payments integration today, but the solution is both underpenetrated and underutilized, creating a meaningful cross-sell opportunity with our payment engine. We also expect that our go-to-market engine can help accelerate growth with this product. Now I'll pass it over to Marc, who will review our financial results in more detail, as well as provide fourth quarter and updated full year 2023 guidance.
Marc Thompson: Thanks, Eric. Total revenue in the third quarter was $174.7 million, up 10.5% from the prior year period. Within total revenue, subscription and transaction revenue was $132.6 million, up 10.5% from the prior year period, and revenue for Marketing Technology Solutions was $36.8 million, up 1.5% from the prior year period. The solid performance in subscription and transaction revenue was largely due to continued execution of our growth strategy and to provide customers our core system of action software solutions and driving expansion by promoting cross-sell and upsell opportunities, leading with payments. As Eric noted, in Q3, we experienced some softness in the more transactional portions of our business, which negatively impacted revenue and has extended into Q4. Specifically, in the third quarter, we saw a decline in contractor equipment spend through our EverPro Rebates Rewards program, in which we share a portion of the vendor rebate. Additionally, while payments revenue grew 28% in the third quarter, we also started to see some modest headwinds in certain pockets of our payments business. We continue to experience demand driven headwinds in our marketing technology solutions underscoring growth of 1.5% from the prior year period. We have also experienced slower growth in our fitness solutions as that industry remains challenged from the lingering effects of COVID. Excluding Marketing Technology and Fitness Solutions, year-over-year revenue growth was approximately 13%. At the end of the third quarter, LTM revenue was $667.7 million, up 12.3% year-over-year on a reported basis. Third quarter adjusted EBITDA was $41.8 million, representing a 23.9% margin versus 19.1% in the third quarter of 2022 and 38.6% growth year-over-year. Additionally, LTM adjusted EBITDA was $147.7 million, representing a 22.1% margin and an 18.8% increase year-over-year. In the third quarter, we're continuing to deliver on our full year 2023 objectives by exceeding EBITDA guidance and achieving record EBITDA margins. Adjusted EBITDA performance in the quarter was underscored by our focus on actively managing our operating expenses, driving operating leverage and focusing on cash flow generation. To that end, we made a reduction in force last week. This action better positions us to manage through continuing headwinds expected for the balance of the year and into 2024 and enables us to drive growth investments as appropriate. For example, one area of incremental investment is resources to accelerate payments adoption among our systems of action software solutions. Adjusted gross profit in the quarter was $113.3 million, representing an adjusted gross margin of 64.8% versus 63.5% in Q3 2022. LTM adjusted gross profit was $438.3 million, representing an adjusted gross margin of 65.6%. The increase in gross margin is partially attributable to an increasing mix of higher-margin payments revenue. Now turning to operating expenses. Adjusted sales and marketing expense was $28.2 million or 16.2% of revenue, down from 17.7% of revenue reported in the prior year period. Absolute adjusted sales and marketing expenses were approximately flat year-over-year, due to timing of spend, and we expect a modest sequential increase in sales and marketing expenses in the fourth quarter. As we continue to invest in our products, adjusted product development expense increased approximately $500,000 to $18.6 million or 10.6% of revenue, down from 11.4% of revenue reported in the prior year period. Adjusted G&A expense was $24.7 million or 14.1% of revenue, down from 15.4% of revenue in the prior year period. As we anniversary the investments made in 2021 and 2022 to support our public company infrastructure, we're beginning to see meaningful operating leverage. We continue to generate significant free cash flow as we invest to grow our business. Our adjusted unlevered free cash flow for the quarter was $31.3 million, representing 42% year-over-year growth and a 17.9% margin. For the last 12 months, our adjusted unlevered free cash flow was $106.8 million. Levered free cash flow, which accounts not only for debt service, but also various working capital adjustments, was $21.3 million in the quarter. This was up approximately $12.2 million or 134% year-over-year due to both growth in operating income and changes in working capital. For the trailing 12 months, levered free cash flow was $74.4 million, a 69% increase over the prior year, continuing to underscore our balance sheet flexibility. Strong free cash flow generation allows us to continue to invest in our growing business and deliver strong returns to our shareholders. It also allows us to efficiently allocate capital across a spectrum of opportunities, including the outstanding buyback authorization and M&A prospects. In the third quarter, we repurchased approximately 160,000 shares for a total cash consideration of approximately $1.6 million, at an average of $9.83 per share. As Eric mentioned, our Board of Directors has authorized an extension of our repurchase program through year-end 2024 and an increase in the size of the program by $50 million. This increase in our program handily fits into our free cash flow generation profile. We ended the quarter with $87.3 million in cash and cash equivalents, and we maintain $190 million of undrawn capacity on our revolver. Our debt is a combination of floating and fixed rate and total net leverage, as calculated per our credit facility, at the end of the quarter was approximately 2.5 times, consistent with our financial policy. We have no material maturities until 2028. I would now like to finish by providing our outlook for the remainder of 2023, beginning with the fourth quarter. As previously described, we're experiencing some softness in certain transactional revenue streams, and we continue to experience headwinds in our marketing technology and fitness solutions. These trends are contemplated in our updated guidance. For Q4, we expect total revenue of $170 million to $174 million, and we expect adjusted EBITDA of $35.5 million to $39.5 million. We have adjusted our full year 2023 revenue guidance to $676 million to $680 million, and we are raising our adjusted EBITDA guidance again by an additional $5 million to $148 million to $152 million. Driving profitability and cash flow remain top priorities for us, and as such, a revised adjusted EBITDA guidance represents a $12 million increase at the midpoint and 210 basis points of margin expansion, as compared to our initial full year guidance and approximately 300 basis points margin expansion over 2022 results. Our Q4 2023 outlook does not include any potential impact of unannounced M&A activity that could take place. Before we begin the question-and-answer portion of the call, I want to thank the entire EverCommerce team for their efforts in delivering these solid results in a challenging environment. Our focus continues to be optimizing our operations, managing costs effectively and delivering on our strategic priorities. Operator, we're now ready to begin the question-and-answer section of the call.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Kirk Materne with Evercore ISI. Your line is now open.
Peter Burkly: Yeah, this is actually Peter Burkly on for Kirk. Appreciate taking the question. So maybe the first one, it sounds like the fitness vertical and a little bit of marketing is still seeing some weakness. But just curious in terms of other verticals or even micro verticals, are there any areas where you're seeing any strength from a new logo standpoint? And then as a follow-up to that, I'm just curious if there's any changes in thinking, as you guys are starting to see some success on payments, just growth going forward, the balance between that growth coming from new logos versus cross-sell of other solutions payments being top of mind. Thanks.
Eric Remer: I'll start off. Thanks for the question. Great question, a lot of pieces. If I don't answer all of it. Marc and Matt will fill in. So thank you for that. But I think I'll start with the end kind of question with regard to the opportunity we see in front of us with regard to payments. So we are double, tripling down on the payment opportunity. We look at our kind of our top four human penetrated opportunities represent about 84% of our onboard or payment merchants. That cohort of customers grew about 86% overall in terms of the payment revenue year-over-year. So huge opportunity within the kind of core system of action, integrated payment penetration, that we're already seeing a lot of growth, and we expect to continue to see that. The second part of it, yes, we continue to grow new logos as that's part of the core of every software business. So we continue to grow new logos, and then we plan to expand that by upselling them, additional services and solutions with a real primary focus on payments. Marc, you want to add?
Marc Thompson: No. Other than to say -- I mean, to your point about -- I think you are directionally headed towards investing in growth like payments. I mean the purpose of obviously continuing to actively manage our expense base, is to really provide the opportunity to drive investment dollars, where we see those opportunities and manage through these exogenous impacts from the macro climate.
Matt Feierstein: I would just add to the first part of your question, Peter. You asked where, from a vertical standpoint, we were seeing that new logo acquisition. And that really remains in line with our customer base, obviously, with the majority -- or a large portion of our customer base in home and field services, new logo acquisition definitely weighs towards Home and Field services.
Peter Burkly: Very helpful. Thanks, guys.
Operator: Thank you. One moment for our next question. Question comes from the line of DJ Hynes with Canaccord Genuity. Your line is now open.
DJ Hynes: Hey, good evening guys. Nice job on the margins in the quarter. Good work controlling what you can. Maybe you could double click on some of the comments around kind of increasing headwinds in pockets of the payment business. Just a little bit more specifically, like what are you seeing? And how are you thinking this kind of plays out as we look over the next couple of quarters?
Eric Remer: Sure. Matt?
Matt Feierstein: Yeah, I'll start. I think the first part of your question was a little more detail on where we're seeing that softness. Specifically in transactions from merchants in areas -- in discrete areas of wellness, we have seen a little bit of softness in late Q3 and early Q4. And along with some ticket size declines in certain areas of home and field services that we've again observed in late Q3 and early Q4. But overall, again, I do believe we are -- not I do believe, I know we are quite excited about the payments opportunity. When you look at our top four solutions, TPV growth in our top four payment solutions, year-over-year is 28%. So as Eric mentioned in his talk track earlier on, payments is incredibly important. There's a large growth opportunity. We're executing on a lot of that opportunity. And while we see some discrete areas of softness that certainly we're quite heartened about the opportunity in front of us.
DJ Hynes: Yeah. Okay. Makes sense. And then Marc, maybe a follow-up for you. I'm just wondering as I look at the Q4 guide, any changes in kind of your philosophy there? I mean, do you feel like you're taking a more conservative cut at Q4 than you may have in the past, just given some of the uncertainty kind of the below midpoint revenue outcome in Q3. Just any high-level thoughts on kind of the setup for guidance for Q4.
Marc Thompson: Well, I'd like to think we're always prudent in the way we set guidance, and that's certainly been the same lens that we put on at this time. Clearly, this quarter, we saw softness as we alluded to, on some of those things that are not as much in our control and a continuation of some that we've been managing through for the first half of the year. So DJ, I'd probably kind of leave it at that.
DJ Hynes: Sure. Sounds good. Thank you guys.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Brad Reback with Stifel. Your line is now open.
Brad Reback: Great. Thanks. On the take rate increase in the quarter on the payments business, can you give us some more color there?
Matt Feierstein: Yeah. Again, Brad, I think that goes back to a lot of things that we've talked to in prior quarters relative to take rate increases. Obviously, there's the pricing front to the end merchant that we have been effectuating change across the course of multiple years, but really picked that up last year. Obviously, there's mix shift. So as payment volume moves to higher take rate programs, that does have an impact on the overall take rate that we publish. And then lastly, we continue to be focused on optimizing our relationships with our back-end providers. We've made some continued meaningful changes with those providers and the economics that we get through negotiation based on scale. So all of those three things together really have driven our continued focus on net take rate and our improvement in that metric.
Brad Reback: And any risk as you lap those next year that they become a bit of a growth headwind?
Matt Feierstein: Listen, I think ultimately, there are certain things that we will be able to repeat, from an action standpoint and other things, that we won't be able to repeat at that same level. Obviously, we know this is a lever from a revenue growth standpoint, and it's one that we're going to continue to pay attention to and pull where we can. I guess certain things, like I said, we know we have room to continue to expand that margin and other things either for the time being. We hit that as hard as we can. Or again, we just won't be able to repeat that.
Eric Remer: And, Brad, one thing to that is, as Matt talked about before, one of our -- when you look at the largest growth within that the payment section is coming from some of our top system of action softwares that we're not penetrating more effectively. And you look at that TPV growth, that growth is almost 30% just when those four, and we think those are going to accelerate into next year. So even if you have some pullback on some of the take rate, the hope and the expectation is we will continue to grow through that through TPV growth.
Matt Feierstein: And to Eric's point, those actually happen to be some of the larger margin programs. So their growth will help us continue to drive the overall net take rate growth because those programs over-index.
Brad Reback: Excellent. Thanks very much.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Bhavin Shah with Deutsche Bank. Your line is now open.
Bhavin Shah: Great, thank you for taking my questions. Just kind of back to the macro question. It sounds like it's still mostly on the marketing side with kind of lingering into the payments. Kind of what impact at all are you seeing on the core system of action side? Can you just talk about renewal rates there, new logo growth has remained healthy or any changes you're seeing just given the softness in the market?
Eric Remer: Yeah. Thanks for the question, Bhavin. I think the -- as I think you brought -- you started out right path with marketing technology, there's been a lag. We've kind of talked about the growth rate being just over 1%, which brings down the overall growth there of the business. The one area that we continue to see, logo, slower growth is on the fitness side, which has been several quarters. I actually wanted to really post COVID, is not reached kind of pre-COVID levels. And so that's the one area kind of the system of action that is just the lagging and we're seeing it stabilize lagging, but just not accelerating into kind of pre-COVID expectations. You want to add to that Matt?
Matt Feierstein: Yeah. And I think to your point, Eric, outside of the in the fitness subvertical in core home services and core health services, surrounding systems of action where we really do have strong products, strong footholds in those subverticals, again, no real change from that perspective. We continue to see to see strength in our customer acquisition efforts and strength, as Eric talked about, in those core payment programs within that space from a cross-sell standpoint.
Bhavin Shah: That's good to hear. And just one follow-up. Just on the EverHealth side. I know you're starting to go more to market with a more integrated kind of brand. Can you just inform us of how that's going, how those customer conversations have trended and any benefits you've seen thus far?
Matt Feierstein: It's going really well. Again, it's definitely a journey. So we're -- we have started that journey. I'm not going to say we're midway through or x percentage through, but there's a lot of work to continue that journey, or we'll say customer receptivity has been incredibly strong, where we meet them in the market, where we've surveyed them. This is what they're looking for is a unified platform. And so, we're excited about getting to that spot. We believe that's going to help us drive more efficient go-to-market motions, greater new customer acquisition, the ability to cross-sell at a greater rate. So very excited to get there. It is a process and a journey to get there. But again, along the way, the validation we're getting from our customers and prospects is really strong.
Bhavin Shah: Great, thanks for taking my questions.
Operator: Thank you. One moment for our next question, please. Our next question comes from Alex Sklar with Raymond James. Your line is now open.
Alex Sklar: Great, thank you. I just want to follow up on your answer to that last question. Can you talk about the digital demand gen effort in particular through the third quarter? And specifically, on the new logos that how that performance for the digital channels in relative to kind of the start of the year, either in both in pipeline generation or either in conversion as well? Thanks.
Matt Feierstein: Yeah. I would say relative to the start of the year and how that's gone through the year, obviously, you have ebbs and flows based on different market dynamics. But quarter-over-quarter, significantly from a demand gen standpoint, we really haven't seen massive change there. Our LTV, obviously, through our efforts on focusing on the right customers, focusing on expansion of those customers has continued to improve nicely. CAC has remained where we have expected to remain and ultimately, LTV to CAC, again, looking back at the beginning of the year is in a very, very healthy place. Very, very linear to where it was at the beginning of the year and an area that, again, when we look at the strength of that metric overall vis-a-vis, digital demand gen, we have opportunities to continue to invest in some of our core products, some of our core systems of action, where those return metrics are really strong.
Alex Sklar: Okay. That's great color. And then just a follow up, either for Eric or Marc, just on the workforce restructuring efforts from last week, can you just provide some more color on what percentage of the business was impacted. And was this across all lines of the business or any particular department that saw maybe an outsize or less of an impact? Thanks.
Marc Thompson: Yeah, it's about 7% all in, and it was really kind of across the board.
Alex Sklar: Okay. Thanks for that.
Operator: Thank you. One moment for our next question, please. Our next question come from the line of Ryan MacWilliams with Barclays. Your line is now open.
Pete Newton: Hey, thanks for taking the question. This is Pete Newton on for Ryan MacWilliams. Very pleased to see the continued operating execution in the quarter. I got to ask, what are you seeing on the SMB front? And has customer demand remained in line with prior quarters? Or are you seeing things trend differently?
Eric Remer: From the SMB standpoint, as we talked about, our pipelines remain very similar, as Matt talked about from Q1, Q2 and Q3, we haven't seen much shift in that. I think the areas that we talked about that we're seeing some softness are really focused on consumer demand, which affects our marketing technology, more lead generation business, our rebates, which are -- what our customers are selling or buying HVAC and things of that nature for their customers. And so the consumer map is the puzzle, is really the area we've seen the softness, much less so than the business of business, core software that we're selling to the market place.
Pete Newton: Okay. That's very helpful. And then just as you mentioned, the Kickserv acquisition, any updated view on near-term M&A from here?
Eric Remer: We continue to look at things that we think are going to be -- help the overall ecosystem grow more effectively or provide more value to our customers. We look at a lot of things, as you can imagine, on a daily basis. I think we're going to be very prudent. We have a lot of things going on internally and a lot of opportunity and utilization of cash on hand, making sure we put that -- those dollars toward the best use, whether that is buy back stock or via M&A, all those are kind of looked at independently based on the best opportunity for the shareholders.
Pete Newton: Awesome. Thanks guys.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Alexei Gogolev with JPMorgan. Your line is now open.
Elyse Kanner: Hi, thank you. This is Elyse Kanner on for Alexei Gogolev. So one of my questions has to do with the payment strategy implemented recently. I was wondering if there was any feedback on the strategy that increased software prices for customers that were not willing to adopt to payment functionality -- and has this prompted any churn or attrition in customers?
Matt Feierstein: Yeah. Thanks for the question, Elyse. No, we're obviously continuing to effectuate that strategy. Churn has actually been below expectations from the implementation of that mandate. So certainly quite happy it's early going. But the strategy has been successful and obviously, one we will consider in the appropriate places looking at repeating as well.
Elyse Kanner: Great. Thank you. And then a quick follow-up. So after talking about the EverHealth consolidation, I was wondering what potential consolidation in other verticals could look like in the quarters or years to come?
Matt Feierstein: Yes. I mean, we look at that as certainly an opportunity. All of our verticals look a little bit different in terms of the core [IPTs] (ph) we're going after, our solution set. So one won't look exactly identical to the other, but this EverHealth experience is certainly a road map for us. We are ahead of that roadmap thinking about how it might look different in other verticals, EverHealth, for example, EverWell as well. As you know, and where, as you may know, we've done some of this in some of our horizontals as well. So EverConnect was a consolidation that came together from a discrete set of solutions that we acquired historically. So we've been down the path of consolidation actually for some time. We're certainly in the midst of EverHealth right now. EverConnect has been in our rearview mirror. And we're using all of those learnings to think about what that consolidation will continue to look like really for the end customer because it's all about creating a customer-centric journey for that end customer. And we believe that opportunity exists in verticals we haven't been as active in yet.
Elyse Kanner: Got it. Thank you so much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Mason Marion with Jefferies. Your line is now open.
Mason Marion: Hi, thanks for taking the question. So, you've done a nice job controlling operating expenses, including the announced risk. If we think about the macro, if it continues to soften, can you help frame for us how you're thinking about margin progression going forward? Should we expect more modest expansion in '24 if the macro doesn't improve? Or are there other further initiatives that you could take as a management team?
Eric Remer: I'll start, and I'll let Marc go in. Look, I think -- thank you very much for the question, by the way, Mason. I think we will, as an organization, we kind of showed this over the last several years as a public company. We're obviously continually focused on how we can expand the top of the funnel and grow more effectively. But in addition to that, increasing our margins is incredibly important to us. We gave kind of long-term goals of that 25% to 30% range of EBITDA margins, were 24% today in terms of Q3. We'll end slightly lower than that for the year. And our expectation is that we'll continue to march down that path to continue to expand those margins in '24 and '25. And so it's both combined with a slightly slower growth rate than we want. But even as growth rates improve, our expectation is we have a lot of leverage within the business, as we continue to scale to drive even wider operating margins in the organization.
Marc Thompson: Yeah. I mean, obviously, we'll be talking about next year's guidance next quarter. But to Eric's point, there are a number of initiatives, which we think will have continuing positive impact on margin expansion, really in the short to mid and even long term. Obviously, one of those continues to be investments in the higher-margin areas of our business, like payments, which we will continue to focus on as well as just continuing to drive efficiency in the operation through a variety of initiatives, not the least of what you're seeing in things like our EverHealth brand and product consolidation, which naturally drives cost the right direction and efficiency of spend and things like that. So I think we expect, as Eric said, as we had talked about really from the beginning, from the time we went public, continuing expansion of margins for the short, mid and long term.
Mason Marion: Understood. Thank you.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Wayne Trinh with Piper Sandler. Your line is now open.
Wayne Trinh: This is Wayne Trinh on for Clarke Jeffries. I noticed there are 11,000 added enabled customers. And of those 7,000 are using more than one solution. So about 63% over the 50% or so last year. Is that a function of the payments mandate? And should we expect this to tick up over time?
Matt Feierstein: Thanks for the question, Wayne. I appreciate it. I think the payments mandate is obviously just one tactic when we think about the overall strategy of payment enablement. Obviously, when we think about cross-sell payments is where we are furthest along and there are a variety of strategies and tactics in play to continue to drive payment enablement and all the down funnel metrics in the payments funnel. So again, mandate one, but we're obviously thinking about a lot of other things, product expansion, et cetera, to drive increased payment take. And then there's obviously a cross-sell of other products. Whether it be in customer experience solutions, marketing technology, we have the opportunity to continue to grow the expansion of utilization of more than one product. I think you've seen nice progress as we've split those metrics into two, try to give you a little bit more transparency, but a lot of opportunity for us to continue to grow both the payments cross-sell as well as other cross-sell.
Wayne Trinh: Got it. That makes sense. And then you guys mentioned price increases last quarter. Do you anticipate maintaining that into 2024 and maybe continuing it? Thank you.
Marc Thompson: So price increases will be a continuing phenomenon. I mean we always look at those and think a lot about price to value, as we've mentioned before. I think this year, we became more aggressive than we were in the prior year in terms of rolling out price increases across the continuum of our solutions. And we'll continue to do that really for the foreseeable future. It's obviously a great lever. And as we continue to invest in our products and continue to find new ways to create value for our customers. I think it's a great opportunity.
Wayne Trinh: Got it. Thank you.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Pat Walravens with JMP Securities. Your line is now open.
Aaron Kimson: Hi, this is Aaron on. Is there any additional color you can give on the revenue-based customer count growth expectations on Kickserv going forward?
Eric Remer: Kickserv added minimal customers. It was a very small tuck-in acquisition, really focused on providing real technology into the base of customers. We had a sound market solution called Joist, kind of more of a little bit upmarket for SMBs and still SMBs called Service Fusion. And Kickserv really sits right in the middle of that. So nominal from a kind of revenue profitability and customer standpoint.
Aaron Kimson: That's helpful. And then maybe just as a follow-up. Marc, you mentioned direct was about 7%. When we think about modeling OpEx going forward, which lines you see the most benefit there?
Marc Thompson: It’s really across the board, literally across the board. I mean people are represented through support and success in our COGS line right on through the OpEx categories.
Aaron Kimson: Got it.
Operator: Thank you. I'm currently showing no further questions at this time. I'd like to hand the conference back over to Mr. Eric Remer for closing remarks.
Eric Remer: Well, thank you so much. The EverCommerce team continues to work extremely hard to achieve key short- and long-term objectives for the company. We remain extremely excited about the opportunities and growth prospects in front of us. Thank you again for joining the call today.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.